Carol Schumacher: Welcome to the Wal-Mart Stores third quarter earnings call for fiscal year 2008. This is Carol Schumacher, Vice President of Investor Relations. The replays of this call and related materials about the quarter are available on our website. Here’s the agenda for today’s call. Lee Scott will start with a review of the company’s business and thoughts about the fourth quarter. Tom Schoewe will cover the financial results for the company. Eduardo Castro-Wright will talk about where things are with the Wal-Mart US business, followed by Charles Holley with details on Wal-Mart International and results country by country. Doug McMillon has some results about SAMS CLUB and Tom will close us out with guidance for the fourth quarter. As of today, you can find on our website the unit counts and square footage summaries by quarter from the fiscal year 2005 through the second quarter of the current year fiscal 2008. These updates are available specifically at www.walmartstores.com/investor under the financial information subject line on the left column. Moving forward we will post these quarterly updates on the day that the 10-Q is filed, so the data for Q3 of fiscal year 2008 will be available when our Q is filed in late November. We also have posted on the site an update to the return on investment and return on assets schedule which reflects our performance through the third quarter. Now let’s get on with the results.
Lee Scott: Thank you Carol, and welcome everyone, thank you for joining us to hear more about Wal-Mart’s third quarter results. We appreciate your interest in our business. Three weeks ago at our analysts and investor meeting I said that as a company Wal-Mart is a growing business with a strong balance sheet and a very loyal customer base. We are realistic about the environment that we are operating in and competing in, both in the United States and globally. During the past few months we prepared for a more challenging, tougher macro economic environment and we believe we are well positioned to win in this environment. Before I talk about the expectations for the Christmas season and the fourth quarter, let me focus on our results for the third quarter. Our results for the third quarter reflect the improved performance of our US operations. Both Wal-Mart stores US and SAMS CLUB’S increased profits faster than sales. Wal-Mart International posted a solid quarter as well. Earnings per share from continuing operations for the quarter were $.70 per share, up from $.62 per share for last year’s third quarter. A lot of the credit for our results goes to the Wal-Mart US stores, who had improvements in inventory and expense control. Net sales for the third quarter of fiscal 2008 were almost $91 billion, that’s an increase of 8.8% over the third quarter of the last fiscal year. You know its interesting Tom Schoewe, but if you look at the plans for the fourth quarter of Wal-Mart Stores Incorporated, we would expect to do at least $100 billion. Our first $100 billion quarter is certainly a record for Wal-Mart. It is interesting too; that what drives that is the Wal-Mart low cost, low price model that allows us to continue to be more and more relevant to our customers. Times are a little tougher than they were a year ago and consumers are particularly appreciative that they can count on Wal-Mart to save them money, and that matters not just in the US, but around the world. Wal-Mart US continues to have three very strong businesses: Grocery, Health and Wellness and Entertainment. In our hard lines business, seasonal categories like Halloween showed continued strength. With the way our stores merchandised and marketed Halloween, it is no surprise that Halloween sales did very well in every department. With the focus from Eduardo Castor-Wright and his team, we see improving trends in both home and apparel. In fact, I believe we will continue to see improvements in both of these categories. I assure you that the Wal-Mart US team continues to be focused on improving comp store sales. You will hear more about Wal-Mart US results from Eduardo, but let me highlight just two areas. First, operating income for Wal-Mart US was up 11.1% on a sales increase of 6.4%. Second, the team made significant improvement on inventory and in fact surpassed the goal of growing inventory at half the rate of sales, but I will not steal any more of Eduardo’s thunder and he will discuss that later. SAM’S CLUB continues to drive increased traffic and tickets as well as growing profits faster than sales. And, like Wal-Mart, SAM’S CLUB really managed the inventory well which leaves them at a great position for this fourth quarter. Internationally we will continue to invest in markets that will deliver both long term growth and solid returns for the company. We believe that full ownership of Seiyu will provide us the flexibility and the freedom to operate that company most effectively and profitably. And, in a fragmented market, we believe that Japan continues to hold much opportunity. This next week, we will be celebrating the opening of our 3,000th store outside of the United States. This is a significant achievement for our company and our associates around the world. At the analyst meeting you heard the details about our capital expenditure program. We just finished our real estate review process for both the United States and international. Our capital efficiency model enhances our ability to approve the projects that will deliver the strongest returns. The combination of increased profits and flat capital expenditures will increase the company’s free cash flow over time. The fourth quarter is well under way and Christmas is just around the corner. In every one of our locations we are offering incredible value and we are focused on the customer. So, whether it is Christmas, Hanukkah or Three Kings Day, our customers around the world can count on Wal-Mart to save money this season so that they can live better. I remain very encouraged about our business, about the work that our associates are doing and our performance for the fourth quarter. Let me close with sincere wishes to you for a wonderful Thanksgiving holiday. On behalf of almost 2 million associates at Wal-Mart stores around the world, have a great Christmas, a happy and a health new year. Now, Tom, I guess you are going to share the details.
Tom Schoewe: Lee thanks a lot. Now, let me just dive into the details of our third quarter results. Total net sales for the company were up 8.8%. US comp store sales were up 1.5% in the third quarter, that’s inside the guidance we provided you at the beginning of the quarter. As Lee just mentioned, earnings per share from continuing operations were $.70 per share, up from $.62 per share we reported in the third quarter last year. Earnings per share were impacted positively by $.01 per share from a $46.5 million after tax gain on the sale of certain real estate properties. During the third quarter operating income increased 11.4% on a sales increase of 8.8%. Gross margin improvement and tight expense control contributed to this improvement. Consolidated gross margin was 23.75%, that’s up eight basis points from the third quarter last year. As a percentage of sales, consolidated operating expenses for the third quarter were essentially flat to last year. Inventory is really a great story. Recall, that during last fiscal year we met our goal of growing inventory at half of the rate of our sales growth each and every quarter. After we fell short of this goal in the first two quarters of this fiscal year we committed to reach that goal by the end of this fiscal year. I am pleased to say that through the efforts of our US operations, both Wal-Mart and SAM’S here in the United States, we reached our goal by the end of the third quarter. Consolidated inventories, and that includes international, increased 2.7% for the third quarter against a year to date sales increase of 8.6%. We are seeing improvement in home office operating expenses; in fact, our corporate overhead costs as a percentage of sales were down versus the third quarter of last year. Our other income remained a strong story in Q3. In addition to SAM’S CLUB membership revenue, other income includes tenant lease income, the gain on real estate that I mentioned earlier, financial services and recycling income. We see continued strength in financial service products, these include money transfers, payroll check cashing and product care warranties. Before I move beyond operating income, there is one thing I’d ask you to remember. Last year our earnings per share from the third quarter was favorably impacted by a $56 million after tax gain in property insurance recoveries. Now let’s chat about interest expense, our tax rate and our debt levels. Interest expense was up 8.3% for the third quarter but was flat to last year as a percentage of sales. Our tax rate for the quarter was 34.5%; we continue to expect the tax rate for the full fiscal year here in 2008 to be between 34-35%, although there could be some volatility from quarter to quarter. Factors which may impact our rate include changes in our assessment of certain income tax matters and the mix of international versus domestic income. For the quarter our ratio of cash flow from operations to average debt was approximately 36% and debt to total capitalization was 42.9% at the end of the third quarter. This is above the 41.4% rate at the end of the same quarter last year that leads to a discussion of share repurchase. You may recall that we provided an update on share repurchase at our analyst meeting just a couple of weeks ago. Today I can tell you that during the third quarter we purchased more than 63 million shares or approximately $2.8 billion. Year to date we have repurchased almost 115 million shares and in dollar terms that’s approximately $5.3 billion. Our capital expenditures through the third quarter are down versus last year. Year to date we have spent $10.9 billion versus last years year to date total at $11.4 billion, that’s a reduction of 4.6%. This progress is consistent with what we told you at the analyst meeting. Return on investment from continuing operations for the trialing 12 months that ended October 31, 2007, is 19.1% and compares to 19.9% that we reported at the same period last year. ROY without the impact of the recent acquisitions of Trust Mart in China, Carhco in Central America and Sonae in Brazil and Seiyu in Japan would be 20.0% for the 12 months ended October 31, 2007, and 20.3% for the 12 months ended October 31, 2006, respectively. With that, let me turn it over to Eduardo Castro-Wright to chat about Wal-Mart US.
Eduardo Castro-Wright: As we covered earlier the story of Wal-Mart stores US is one of a business that is improving. We closed the third quarter with clean inventory in solid operating income. Let me get into some of the financial highlights and then I will update you on our business going into the fourth quarter. At the Wal-Mart US division, operating income increased 11.1% to more than $4 billion on a sales increase of 6.4%. Comparable store sales in the Wal-Mart segment were up 1% for the quarter. Comp sales were driven by an increase in average ticket while customer traffic declined. Our three strong businesses: Grocery, Health and Wellness and Entertainment represent two thirds of total Wal-Mart US business. Grocery alone is more than 40% of that total, in fact, our grocery business including pharmacy was strong throughout the quarter and Super Center food sales grew by more than 13%. Super Center food comps were 5.3% and pharmacy comps were 8% during the quarter. During the third quarter we further increased the price spread between us and three of our largest grocery competitors with a spread ranging from 14-28%. There is no doubt we win on price, which our customers certainly can appreciate. We continue to see inflation in some food departments such as dairy. Wal-Mart’s inflation rate is approximately 100 basis points lower than what the overall grocery industry is reporting. Our total prescription share was up 40 basis points for the quarter. We are about to anniversary the full scale roll out of the $4 generic prescription program next week. This program is great for our customers. Prescriptions in October were up 40% year over year. We had a very solid Halloween season with comp sales over 5%. Our success came because we had an integrated cohesive merchandising presentation in our stores for Halloween, just as we did for back to school. Electronics will continue to be strong for us this Christmas in such items as televisions, GPS units, digital cameras, video games and computers. Sales of flat panel TVs are up 110% in the third quarter over last year and laptop computers are up more than 80%. Like others in the industry we are seeing a slow down in sales of music and DVDs. During the third quarter we absolutely surpassed our goal of growing inventory at half the rate of sales. Inventory on October 31, was down from last year by 1.3% on a sales increase of 6.4%. In addition to strong inventory management at the store level we have made several improvements in the supply chain and distribution processes that have contributed to the success. Gross margin was essentially flat with the third quarter last year. We delivered high initial margins and fewer mark downs offset by higher strength. You will recall that during the analyst meeting we discussed several initiatives in home and apparel. We already are seeing double digits sales increases in our express for less program in our 10-10-10 apparel program, ten items, ten colors, under ten dollars. In home, we are driving price leadership and strengthening our brands. We have made a lot of progress during this year in developing our new home pad which has been tested in 15 markets. We are seeing good results and we plan to roll out this layout to most stores next fiscal year. As we discussed at the analyst meeting, we will continue to invest in our remodel and special projects program. During the past two years we have seen that remodeled stores and special projects have outperformed control stores by 100-300 basis points. Store wages as a percentage of sales were down for the quarter, as were accident costs expense and advertising. Overall expenses as a percentage of sales were down 9 basis points this quarter. Sales per labor hour increased by more than 4% for the third quarter. This is in line with the past two quarters of this fiscal year. We will continue to roll out the scheduling system into all departments in all stores. It is also not a surprise that productivity improvements are part of the reason we are seeing improvements in customer service. In the current economic environment it is even more important for Wal-Mart US to be focused on price leadership and superior customer service. Our operational plan builds on a cycle of continued improvement, showed that 56% of our stores improved in this key customer metric versus the previous month. Before I close, I must share the news about our newest Wal-Mart Super Center that opened last week in Highland Village, Texas. This store, which is 203,000 square feet, has many, many merchandising initiatives, new category adjacencies and a major commitment to fresh. There is a pastry shop, an open hearth bakery and a circular deli department featuring many meal solutions. Navigation and sight lines were a priority for us in this design and it is very easy for customers to move around the departments. Our goal is to keep clean aisles and an uncluttered look throughout the store. There are several stores within a store departments covering electronics, toys, shoes, and pets. The electronics department truly allows us to showcase today’s technology. I could go on for much longer but I need to pass the microphone to Charles to cover Wal-Mart International. In the mean time, I invite you to experience Highland Village for yourself. One thing you will surely find when you visit is our emphasis on low prices in a friendly efficient and enjoyable environment.
Charles Holley: Thanks Eduardo. Before we get into International third quarter results, let’s briefly discuss Japan. Our recent announcement of a tender offer for the remaining outstanding shares of Seiyu prompted a number of questions at the recent analyst meeting. As Lee noted there are many clear reasons why Japan is important to our future. Seiyu is an important part of the company’s overall strategy for the larger Asian market. Full ownership of Seiyu will allow our management team to focus on the primary business and provide the greatest possible access to all of Wal-Mart’s global resources. You’ll hear about Seiyu's results a bit later. First, let’s discuss international third quarter performance. International net sales from continuing operations for the third quarter were $22.4 billion, that’s a 16.9% increase over the prior year. The impact of currency valuation on sales generated a benefit of $1.1 billion, driven primarily by strengthening in the British Pound, Canadian Dollar and the Brazilian Real. Our strongest underlying sales performances in the quarter came from China, Brazil and Argentina. Continuing its first half performance Asda and United Kingdom delivered very positive sales results in the third quarter. Segment operating income from continuing operations for the third quarter was $1.1 billion. Gross margin for the segment was up approximately 30 basis points versus the third quarter of last year, largely as a result of improvements in Brazil. Operating expenses as a percentage of segment sales were up from the third quarter of fiscal 2007. Higher expenses in several countries were partially offset by an improvement in Mexico. In addition, accruals to certain legal matters affected operating expenses. Operating income grew slower than segment sales for the third quarter. Mark downs on summer season merchandise at Asda contributed to the slower growth in operating income. The third quarter impact to currency valuation on operating income was a benefit of $55 million. Now, let’s discuss highlights by country. In the United Kingdom sales have tracked ahead of the market, outperforming in every single month so far this year. This is notable given a more difficult retail environment and unusually wet weather conditions at the start of the quarter. Consumer confidence in the UK continues to be fragile with rising mortgage rates starting to impact consumer spending. Comp sales were up in the low single digits and total sales was up in the mid single digits. Sales growth was impacted by market conditions and tougher comparables but market shares still increased by 30 basis points year on year to 11.8% in the 12 weeks to October 7. This growth is primarily driven by traffic increases through comp stores and new openings, as does operating income when slightly above plan but below last year. The company continues to focus on price leadership and recently announced roll backs of another 2,500 items. During this quarter, Asda opened eight new stores with a total of over 300,000 square feet of new space and initial sales have been ahead of plan. Four of these stores were Asda living, a format that continues to perform well. The asda.com business continues to develop with a roll out of grocery home shopping to a further 16 stores and the trial of the new proposition of Asda direct. This trial enables us to sell an extended assortment in a way that gives the customer maximum choice of order and delivery options. Toys and electronics can be ordered on the web, at an in store kiosk or on the phone and then delivered to your home or collected from one of the trial stores. Now let’s turn to Mexico. As we saw in the second quarter, the third quarter was a challenging one for Wal-Mart Mexico. Third quarter sales continue to be impacted by tough year over year comparisons and the slowing growth in consumer demand present in the overall economy. I am proud to say, through, that our Mexican management team continues to prove it can react to the soft economic environment with fast and focused initiatives geared toward price leadership, effective execution during the holidays, assortment and layout. The efforts of Wal-Mex management led to a third quarter gain in new customers both overall and in comp stores. Operating income then increased faster than sales. Wal-Mex’s third quarter sales in real terms increased 7.6% versus fiscal 2007. After removing inflation, comp sales in real terms increased .7%. The third quarter sales increase was driven by an 11% increase in customer count, partially offset by 3% decrease in average ticket. All self service formats; Super Centers, SAM’S CLUB, Bodegas and Super Ramas had positive real comps for the quarter. We continue to see the formats where consumer spending is more discretionary, suburbia and the VIPS restaurants are the most affected by weak consumer demand. Gross margin for the third quarter increased over the same quarter last year driven by better management of perishables and groceries and improvements in seasonal merchandise, apparel and toys. Despite the impact of initiating our banking operations in Mexico, expenses as a percentage of sales declined from the third quarter of fiscal 2007 because of the cost reduction program initiated in the second quarter. The combination of these two factors led to operating income that grew faster than sales for the third quarter fiscal 2008. In Canada, total sales increased in the high single digits for the third quarter while comp sales grew in the low single digits. Our sales performance was strongest in August and September. Sales in October were adversely affected by unseasonably warm weather conditions which unfavorably impacted apparel sales. Additionally, an increase in gas prices and an exceptionally strong Canadian Dollar had negative impacts on sales towards the end of the quarter. Sales were strongest in the food and electronics categories during the third quarter and were also positively impacted during our anniversary sale in September and the Halloween seasonal program in October. During the third quarter we opened 10 new Super Centers, two new Greenfield locations and eight expansions, bringing our total number of Super Centers to 17. These new openings included the first Super Centers in Alberta, where there are now five Super Centers. Our real estate openings for the rest of the year will be in line with the initial plans. We expect to have 31 Super Centers open by the end of fiscal 2008. We continue to be very encouraged by the customer reaction to the introduction of Super Center format to Canada, with very positive increases in customer count and average ticket. We continue to bring lower prices to the marketplace as we expand the number of stores and are seeing increased promotional pricing from the competition as they attempt to respond. The initial seven Super Centers are delivering sales and profitability in line with our original plans. In the third quarter our segment income increase was in the low single digits. Gross margin was down because of three factors: a higher mix of food within Super Centers, lower margins in October due to softness in apparel and shoe sales, and finally a high proportion of lower margin electronics. Expenses grew faster than sales in our new Super Center business primarily due to pre opening costs and depreciation. In addition to support the accelerating growth of Super Centers in Canada, investments in home office head count and store training added costs year on year. As we enter the fourth quarter, Wal-Mart Canada is embarking on increased number of roll backs using the strength of the Canadian Dollar to enable us to lower prices for customers. We are stepping out ahead of the industry and lowering prices on certain items. In fact, we reduced prices on magazines, books and cards to bring retail prices in line with US Dollar prices. Moving now from North to South America, let’s start with Brazil. Without the impact of currency fluctuations, Brazil sales grew 17% when compared to the third quarter of fiscal 2007. Comps in real terms were in the upper single digits for the third quarter of fiscal 2008. Sales in Brazil continue to be driven by an improved price position, recovery of consumer purchasing power and localized assortment by segment, customer and region. Operating income in Brazil was above planned for the quarter. We continue to be pleased with the performance of our total Brazilian operations, including the acquisitions in the Northeast and South. Argentina continues to deliver a strong performance with sales well ahead of planned, including comps in real terms in the high teens. Operating income in Argentina was in line with planned in the third quarter. Our new format in Argentina, Changomas has continued excellent performance with sales well above initial plans. Additionally, in Argentina, we are pleased to announce that we have purchased three stores from Ashan. This acquisition will compliment our current operations and build our market share in the strategic Buenos Aires market. Argentina and Brazil are great examples of our management teams leveraging our global knowledge and experience. Patterned after experiments in Mexico, both Argentina and Brazil are successfully introducing new formats that are tailored to the low income customer. Third quarter sales in Puerto Rico were up from last year and ahead of plan. Operating income was ahead of last year but slightly under plan. As we saw in the second quarter, comp sales were slightly positive despite the continuing trend of lower consumption on the island. Before the impact of currency fluctuations, third quarter sales at Wal-Mart Central America grew 17% over the same quarter last year. Third quarter comps were in the low single digits. Operating income was ahead of last year but slightly behind plan and because of lower gross margins due to competitive pricing and inventory optimization initiatives. Turning now to Asia. During the last two months of the third quarter, we were encouraged by positive comp sales in Japan in both food and general merchandise categories. This was driven by increased customer traffic. Apparel sales declined compared to the prior year quarter due in part to unseasonably warm temperatures. Gross margins came under pressure due to shifts and category sales mix and continued investments in strategic categories to establish price leadership. Expenses were leveraged and ended the quarter below planned but not sufficiently to offset the gross margin shortfall, resulting in operating income that was below planned. Wal-Mart China comps were extremely strong for the third quarter, during which we opened six new stores. Sales were up for the same quarter last year by 45%. Third quarter operating income was ahead of planned in the same quarter last year. We continue to be excited about the comp sales performance at Trust-Mart. Now on to SAM’S CLUB, Doug.
Doug McMillon: Thanks Charles. I’m pleased to join you today to share what is happening at SAM’S CLUB as we head into the holiday season. Overall, sales for SAM’S grew by 6.1% to $10.8 billion during the third quarter of fiscal year 2008. Third quarter comp sales, excluding the contribution of fuel, increased by 3.9% over the prior year. Fuel had a negative impact of .1% on comp sales. As a reminder, around 70% of our clubs now have fuel stations. Over the quarter we went from a slightly deflationary environment for fuel in August to inflation in excess of 25% by the end of October. We also continue to see inflation above 20% in the dairy category during the quarter. As it relates to sales, fresh food and dry grocery were strong throughout the quarter. The extended warm weather at the end of the quarter helped drive our juice and water businesses. Electronics and in particular video games also contributed to our growth. While we believe that some of our members are waiting and hoping for further price declines in TVs, many of our top selling items in our holiday catalog were televisions and we believe this will be a strong Christmas for LCD televisions in particular. Apparel and home were below planned for the quarter. We’ve got room to improve on those areas beyond any external pressures. On the other hand, we were pleased with our seasonal hard lines business and Halloween decorations and in candy. Geographically our operational performance was strongest in the Central US; the Southeast was our weakest area. I’d like to talk about membership for a minute. As we mentioned previously, membership income is behind this years plan. Our biggest concern is new sign ups and over time those new sign ups affect renewals. After all, today’s new member is tomorrow’s renewal. We are making some changes in this area to ensure it gets the focus it needs. In July, we named Mike Turner, Vice President of Membership. Mike is a SAM’S CLUB veteran; he most recently served as our regional Vice President for our Western Region. Mike brings extensive club operations experience to the job and will drive the execution we need in this area. In addition, we recently announced that Cindy Davis has joined SAM’S CLUB as Senior Vice President of Membership and Marketing. Cindy comes to us from Rap Collins where she was most recently the President for Global Development and Communications. Cindy brings a wealth of marketing experience to SAM’S CLUB and we are excited to have her in this role. Mike Turner will report to Cindy for membership and we will name a VP of marketing that will also report to Cindy. With these leadership changes we are looking at how we can make our memberships more attractive and more relevant to more potential members. We are looking for the new team, Cindy and Mike, to drive both innovation and execution for us in the membership area. Moving on to operating expenses, we leveraged expenses during the quarter. Gross margin was down four basis points close to flat with last year. For the quarter, SAM’S CLUB again grew profits faster than sales, operating income was $362 million a 6.2% increase over the prior year quarter. Overall we are pleased with our inventory position going into the holidays. Our team has had a strong focus this year maximizing efficiency of how we flow merchandize into the clubs. Before I wrap up I would like to spend a few minutes talking about the season in front of us. On November 1, the day after Halloween, all clubs transitioned to their holiday look. They went from orange and black to red and green overnight. The clubs did a great job with the change over. The SAM’S CLUB holiday gifts catalog was delivered to many of our members during the same week and they found those items featured in the clubs. The catalog included unique once of a lifetime packages like a space shuttle launch viewing and had an electric car with it and a trip to the 2008 Olympic Games in Beijing. Both of those items were sold to members in the first few hours they were available and in some cases the first few minutes. These packages generate excitement for our members and are an excellent way to publicize the great values available to SAM’S CLUB members. We are also doing more to integrate samsclub.com into our overall marketing strategy. An example is our sneak-a-peak program which gives members a chance to sign up with a text message to receive early e-mail notice of some of the items we will be offering in the clubs the day after Thanksgiving. In summery, we believe we are well positioned to serve our members with their food, gift and decoration needs throughout the season. Tom will wrap it up now.
Tom Schoewe: Thanks Doug. For the fourth quarter we expect US comps to be between flat and a 2% increase. The company expects earnings per share from continuing operations for the fourth quarter to be between $.99 and $1.03 per share resulting in a full year forecast for earnings per share from continuing operations of $3.13 to $3.17 per share. This guidance includes an anticipated restructuring charge for Seiyu of approximately $40 million after tax in the fourth quarter. Thank you for your interest in Wal-Mart and as Lee said, have a great holiday!